Operator: Good morning and welcome to the Blue Apron Holdings fourth quarter and full year 2021 earnings conference call and webcast. At this time, all participants are in a listen-only mode. As a reminder, this call is being recorded today, Thursday, February 10, 2022 for replay purposes. Should you need assistance on this call, please signal a conference specialist by pressing the star key followed by zero.  Now I would like to turn the call to Tip Fleming, Head of Investor Relations for Blue Apron. Tip, please proceed.
Tip Fleming: Thank you Operator, and thank you everyone for joining us today. With me on the call is Linda Findley, President and Chief Executive Officer of Blue Apron, and Randy Greben, Chief Financial Officer. Before I turn the call over to Linda, a few remarks about this call. The slide presentation that accompanies today’s remarks can be accessed on our Investor Relations website. In addition, various statements that we make during today’s call about our future expectations, plans and prospects constitute forward-looking statements as defined in the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of risks and other factors, including those described in the company’s earnings release issued this morning and the company’s SEC filings. In addition, any forward-looking statements represent the company’s views only as of today and should not be relied upon as representing its views as of any subsequent date. The company specifically disclaims any obligation to update these statements. Furthermore, during this call we will be referring to certain non-GAAP measures which are not prepared in accordance with generally accepted accounting principles. We encourage you to refer to the earnings release and the SEC filings, where we have defined these measures, and to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. Lastly, I will point out that many of the comparisons we are making today will be comparing the fourth quarter of 2021 with the fourth quarter of 2019. We believe that using the pre-pandemic fourth quarter of 2019 as a benchmark is an appropriate way to evaluate the long term evolution of our key customer metrics. We believe that the patterns and customer behaviors in the fourth quarter of 2021 reflect a higher correlation to the more normalized periods which were last seen in 2019 versus the pandemic-impacted periods of 2020.  With that, I’d like to turn the call over to our CEO, Linda Findley. Linda?
Linda Findley: Thank you Tip and good morning everybody. I’d like to start the call by saying how truly exciting this past quarter was. The $78 million equity capital raise that we completed in November sets us up to accelerate our growth strategy and aggressively execute against the next step in our company’s evolution. We believe that 2022 will be a transformational year for Blue Apron, and we are excited to talk about the start of that journey today. Before I share more details about what’s next and some other developments from this past quarter, I’d like to take a step back and talk about our path over the past few years.  When I joined Blue Apron in 2019, it wasn’t a secret that we had a lot of work ahead of us to address the many challenges the company was facing. I believed then and believe now in the power of our brand and our products and the potential ahead for Blue Apron. After almost three years, I continue to see the amazing impact cooking with us has on our customers’ lives every day. A few months after I joined Blue Apron, we announced a strategic road map that was focused on delivering long term sustainable growth. We outlined a three-pronged strategy centered on, first, engaging more high value customers; second, offering greater menu variety, flexibility and choice in our products and services; and third, efficiently scaling our infrastructure. I’m proud to say that Blue Apron today is a much improved company and we see a lot of great opportunities ahead. Over the last two years, we’ve put significant time and resources into executing on the first two prongs of our growth strategy, resulting in our highest levels of average order value since we started tracking this metric. In addition, orders per customer and average revenue per customer have been performing well above their pre-pandemic levels in 2019. At the same time, we were able to start the foundational work on the third prong of our strategy, setting us up for customer growth in 2022 and beyond. In terms of our customers and products, we focused on adding more variety, flexibility and choice to our menu. We expanded our options with customization, additional premium options and add-ons, as well as heat-and-eat, our newest ready-to-eat product category. The introduction of these offerings was strategically rolled out to continue to meet the evolving tastes and preferences of our customers. To give you a sense of how far we’ve come, back in 2019 we offered just 17 weekly menu options, and now we have over 50 without counting the additional non-subscription boxes on the Blue Apron market. Moreover, many of our menu options in 2019 were complicated and took too long to prepare. Now the majority of our two-serving and four-serving recipes are designed to be ready in 35 minutes or less. We also introduced options that have quicker prep and easier clean-up alongside our popular wellness recipes. As we continue to look for ways to grow customer engagement and retention rates, we have introduced several fully-integrated partnerships over the past few years. This includes our work with Disney Studios content, Aspiration, Calm, Panasonic, Amazon Alexa, and WW. We also collaborated with several well-known chef partners with influential culinary voices, such as Roy Yamaguchi and chef Sam Kass.  At the onset of the pandemic, we identified areas to improve efficiency and capacity in our fulfillment centers. As many of you are aware, investments in Blue Apron’s operational footprint consumed a significant amount of both management time and capital in the company’s early years. While we believe our packing and fulfillment capabilities are state of the art, we were not leveraging the full potential of these investments. We have since worked to bring a greater level of sophistication, productivity and discipline into our operations, which has allowed us to identify and address bottlenecks. We have also introduced programs to more effectively staff, train, manage and compensate our team members, all while keeping them safe. While we are still seeing impacts from the pandemic, including periodic staffing challenges, we now view our fulfillment centers as a source of strength and believe they will give us a true competitive advantage. We expect to require limited capex spend on our fulfillment centers moving forward and believe we can continue to unlock more efficiencies. In general, we designed our operations to be a major cornerstone of our success as we step into our next phase of growth.  I’m proud to say that we successfully implemented the first two prongs of our growth strategy despite constrained liquidity and the pressures from the pandemic-challenged macroeconomic environment. While we continue to build on our success, we are diving deeper into the third and final phase, rebuilding our marketing infrastructure and focusing on customer growth. The completion of the equity capital raise during the fourth quarter allows us to expedite the remaining work we have in our road map.  We remained disciplined about implementing our strategy for sustainable long-term growth during the pandemic. Our goal has always been to build a sustainable business that comes out of the pandemic stronger than when it went in. From an industry perspective, we believe that despite new variants, we have already entered a post-pandemic era. This is backed on consumer behavior evolving beyond the drastic changes of 2020 as a result of lockdowns, restaurant closures, and long grocery store lines. Most of these pandemic impacts were gone or easing for much of 2021.  Today, we believe that we set the highest bar in the meal kit industry when it comes to quality. For us, that means we strive to provide the best food quality and culinary experience while we continue to work towards having the highest standards in the industry for environmental sustainability and animal welfare.  We think that many consumers today are looking for an offering that features choice and convenience with quality ingredients, and that is what we deliver. We hold our suppliers to strict standards and we constantly search for the highest quality ingredients. We already see the benefit of many of the initiatives we undertook in the first two phases of our growth plan when we look at customer behavior and our strong customer metrics over the past two years. We are also focused on building on our ESG initiatives and continue to make sustainability a core part of our corporate values. We see this differentiated approach as our sweet spot. With the completion of the $78 million capital raise in November, we believe now that we have the financial foundation to be more aggressive with our marketing in the third phase of our strategic plan. While profitability remains a goal over the long term, we are focused on taking advantage of an important opportunity to accelerate customer and top line growth. We believe that we are at a true inflection point in our journey as we continue to turn around our business. This past quarter, we significantly ramped up our marketing spend, focusing on targeted investments that are helping to raise brand awareness. We specifically started working with mainstream and digital media companies that align with our brand, such as Buzzfeed and Food52, and are creating cross-channel content across our ecosystems.  As we continue to be more aggressive with promoting our brand to attract new customers, we are also ramping up our investments in marketing technology, especially as we look ahead towards a cookie-less future. Highlights include building out a customer data platform to better manage our first party data, on-boarding a content management system to more effectively leverage our digital content and enhance our ability to use technology to increase customer adoption, and investing in our engineering capabilities to improve overall user experience. As a result, marketing spend grew 68% year-over-year in the fourth quarter, which Randy will discuss in further detail.  Given that the proceeds from the capital raise arrived late in 2021, we made the strategic decision to make investments that we thought would fuel growth in 2022. I will share that we are encouraged by customer trends at the start of this year. The number of new registrants and existing customer reactivating their Blue Apron accounts were up more than 10% during the first five weeks of the year versus the same period last year. New registrants and account reactivations are the first step in becoming a paying customer. We believe that we will see the benefit of these increases throughout 2022 and beyond and expect the business to return to positive year-over-year quarterly revenue growth, starting in the second quarter and the full year overall. As new customers begin to experience Blue Apron, we continue to work on delivering new product innovations and making meaningful enhancements to our menu. Customers now have an even greater options to swap, add or upgrade ingredients in each box as 50% of our two-serving and four-serving meals are customizable, with plans to expand to more recipes by the end of this year. A customer can further personalize a box by adding a side, dessert or appetizer. We’re also now introducing more seasonal and special occasion offerings, such as Thanksgiving and New Years, which can be purchased with or without a Blue Apron subscription. Offering the option to purchase through a variety of channels is another example of how we’re providing consumers with the flexibility to order what works best for them. It also reflects our plans for the future. While we believe that our subscription business will always be at the core of what we do, we see opportunities to explore new buying behaviors, including purchasing our products without a subscription and expanding our partnership ecosystem. Heat-and-eat is another great example of a successful new product launch. It provides customers with a quick meal option that doesn’t sacrifice quality. Since we introduced it at the end of the third quarter, we have seen a steady uptick in volume and unique customer trials, especially as we rotate our new recipe selections. The demand has continued into the new year. Based on our analysis, customers who are adding heat-and-eat to their box appear to be doing so on top of their standard recipes, which in turn helps drive AOV. We plan to continue to expand recipe options as we learn more about consumer tastes and preferences. All of these product innovations and added variety helped to drive an almost 9% increase in orders per customer and an almost 10% increase in AOV compared with the pre-pandemic fourth quarter of 2019. This marks the seventh straight quarter where we have delivered strong customer engagement metrics. This performance gives us the confidence that the first two phases of our strategic growth plan have been working and that now is the right time to move into the third phase and aggressively ramp up our customer acquisition initiatives. Now I’d also like to take a moment to touch on how we are expanding our ESG projects across the organization.  On the environmental side, we remain on pace to meet our goal of being carbon neutral by the end of Q1 2022. We initially planned to do this through the purchase of carbon offsets based on our initial estimated carbon footprint, with plans to implement systematic reductions in the years ahead towards our longer term goal of net zero. On the social front, paying fair wages and investing in our team members is one of our highest priorities. In the fourth quarter, we introduced a starting hourly wage of $18 per hour alongside additional training and other employee benefits. On the governance side, we eliminated our dual class share structure in the third quarter. We are also continuing to work towards our board diversity goals, including being at least 50% racially diverse following our 2022 annual stockholders meeting.  Before I pass the call over to Randy, I’d like to leave you with a quick story. Last month, we received an email from a mother who signed up for Blue Apron a few years ago to give her son the opportunity to experiment in the kitchen. Over the years and in part with the help of Blue Apron, her son found a passion for cooking, enrolled in culinary school, and is now a junior sous chef at an upscale restaurant. In her note, she thanked us for giving him the tools to find his passion. Stories like this as in part why I, along with my colleagues across our business, are so proud to work at Blue Apron. Whether it is a child hoping to cook for the family, a busy working professional looking for a healthier alternative to take-out, or a retiree trying to get out of a food rut, we believe the market potential is huge and our vision for better living through better food is as important now as it ever was. In summary, we couldn’t be more excited about what lies ahead in 2022. Having made great progress on the first two prongs of our growth strategy, we feel strongly that we’re on the right path. We believe the actions and investments that we are taking in this final stage are putting us in a great position to get back on a path for long term and sustainable growth.  I’ll now pass the call over to Randy.
Randy Greben: Thank you Linda, and good morning everyone. We are pleased with how the business performed this quarter and for the full year. The continued strength of many of our most important customer metrics gives us confidence that we are ready to hit the gas on our marketing investments as our results demonstrate that our strategy is driving significant value at the customer level. We are now entering a phase where we are targeting significant customer growth and audience expansion in 2022 and beyond. On today’s call, I’d like to first walk through some high level points on our quarterly results, then I’ll build on the framework Linda discussed to demonstrate how we are investing in our future by methodically building out our marketing infrastructure and prioritizing expenditures through smart, data-driven decisions. Overall, our fourth quarter results show continued execution across the business. Net revenue improved 13.4% compared with the pre-pandemic fourth quarter of 2019. Our KPIs performed well as our expanded menu options, successful partnerships, and new product additions drove increased engagement. Notably, average order value reached $63.78, which was another record high since we started tracking this data in 2015, and it was a solid improvement over $62.30 in Q3 and $58.14 in the pre-pandemic Q4 2019. These increases are partially attributable to pricing changes we enacted throughout the third quarter. Average revenue per customer also increased to $319 from $269 in Q4 2019. Our ability to drive higher average order value and average revenue per customer is directly tied to our product innovation efforts and our commitment to offering customers greater flexibility and choice. Orders per customer came in at five, which was consistent with the third quarter and 9% higher than the 4.6 recorded in the fourth quarter of 2019.  Our variable margin was 35.3% this quarter, up from Q3’s 33.1% but down both year-over-year and against pre-pandemic 2019. For the year, variable margin finished at 35.8%. Higher logistics costs were a significant driver impacting variable margin in Q4. These come primary from the first and middle mile, as we’ve been successful in managing expenses tied to the last mile of delivery. We had anticipated that logistics costs would pressure fourth quarter results; however, the impact was more significant than we anticipated back when we introduced our shipping charges in Q3. We continue to work with our carriers to maximize the efficiency of our logistics network and are in the process of evaluating new partners to add to our network to streamline the customer experience and contain costs. Variable margin was also impacted by inflationary pressures on food costs, consistent with macroeconomic trends across multiple industries. That said, we believe we are partially insulated from food cost inflation due to the nature of our direct sourcing model, where almost 80% of our supplier relationships are direct to farmer, rancher or manufacturer. We hold all of our suppliers to high quality and ethical standards. Our product mix today is also heavily weighted towards seafood and other premium proteins. This is in direct response to customer preferences for an elevated cooking experience with top quality ingredients. This is also a good moment to address a common misperception around margins. While groceries have long been a low margin business, meal kits have not. We believe we can drive better margins because of our direct sourcing model, where we work directly with farmers and suppliers. As we hope to move past some of the inflationary pressures throughout the year and see further proof points from our marketing investments, we expect margins to steadily improve. The last item of note with respect to variable margins is the impact of hourly wages and staffing levels in our fulfillment centers. First and foremost, as part of our commitment to ESG and investing in human capital, we raised starting hourly wages. We believe the short term impact to our margins will be largely offset over time by greater efficiencies in our fulfillment operations. In our experience, our most tenured full time associated consistently demonstrate stronger performance in terms of both work quality and throughput. Furthermore, we intentionally invested in hiring to better position ourselves to meet expected demand following our increase in marketing spend in late Q4.  Shifting gears, I want to take a moment to dig into our marketing spend in Q4 and our expectations in this area going forward. As is reflected in our numbers, our marketing spend in Q4 was significantly higher than previous quarters due in part to new investments in our marketing technology infrastructure. There are two things I’d like to point out here. First, as Linda mentioned, the capital raise that we completed a few months ago allowed us to significantly accelerate the third leg of our strategic growth plan, and second, these investments were very much weighted towards the last few weeks of December and intended to set us up for 2022. In total, our marketing spend for the quarter was $21 million, representing a 68% increase over Q4 2020 and an approximately 74% increase over the pre-pandemic Q4 2019 period. As a percentage of net revenue, marketing expenses in the quarter increased to 19.6% from 10.8% in the prior year. The increase was primarily related to targeted marketing investments aimed at improving overall brand awareness and reach. These investments are designed to help increase our ability to leverage data across the organization. Data is at the heart of everything we do, from menu selection to product road map to how we deploy funds. As we enter a cookie-less environment for marketing, we are building an infrastructure that will allow us to collect, store and leverage the best data we can, and our investments reflect this. We have also begun to lean more heavily into the use of acquisition incentives while maintaining our focus on quality customers. Customers are generally price sensitive when deciding to join a meal kit but are far less so once they are a customer. As part of rebuilding our marketing infrastructure, we have plans to leverage data to implement smart couponing and incentive programs to help attract more customers and create a stickier high margin customer over the long term. Product, technology, general and administrative costs were $36.9 million for the fourth quarter, which was in line with last year. Included within PTG&A are professional fees incurred that are helping us add efficiencies to our operations. Furthermore, portions of the aforementioned marketing technology investments also impact the PTG&A. Other income of approximately $900,000 was all non-cash and related to warrant obligations on outstanding debt.  Turning to the bottom line, we reported a net loss of $26.4 million for the quarter, which includes the $900,000 non-cash impact I just mentioned. Adjusted EBITDA loss was $17.9 million.  We continue to deliver on initiatives to streamline our operations in our New Jersey and California fulfillment centers. We began this project over a year ago and have been successful improving productivity and increasing asset utilization. This has allowed us to remove some levels of added complexity related to product launches without compromising quality. We are also working closely with our vendors to reduce onsite inventories and identify areas to reduce operating costs, while at the same time not adding new supply chain risk. These efforts, along with the recent increases to our starting hourly wage, leave us well positioned to manage current and future volumes in our seasonally busy first quarter. At quarter end, we had 336,000 customers, down from 353,000 in Q4 last year and 351,000 in the pre-pandemic Q4 2019. Despite the decline, the revenue growth over the two-year comp highlights that we are tracking a higher quality cohort to Blue Apron today. This is further supported by the KPI growth I cited earlier, illustrating that our customers are motivated by the variety and customization we provide them at every turn. Growing the number of Blue Apron customers will be a bellwether of our return on investment as we move through 2022. We ended the quarter with cash used from operations of $21.6 million, driven primarily by our ongoing investments in rebuilding our marketing infrastructure. At the end of Q4, we had cash and cash equivalents of $82.2 million. The company had total outstanding borrowings of $30.6 million under the senior secured term loan, of which $27.1 million is classified as long term debt and $3.5 million is classified as the current portion of long term debt.  Turning to our outlook, our guidance assumes the anticipated consistent benefit to our business from the acceleration and execution of our strategic growth initiatives and the impacts of the planned use of proceeds from the recent equity capital raise. These assumptions include our expectation that we will make significant investments in our marketing technology infrastructure as well as continued operational improvements. Lastly, our guidance assumes we will not have any unforeseen disruptions in our fulfillment center operations or supply chain. In terms of our full year outlook for the full year 2022, we expect marketing spend to continue to ramp up through the year to support expected higher levels of top line growth. In line with what we shared last quarter, we expect marketing expenditures for full year 2022 to be around double what was spent in full year 2019. We plan to augment this with an acceleration of promotional spending for customer acquisition at higher levels than in any of the past three years. As a result, we expect top line revenue growth to be at least in the mid-teens percentage range for the full year 2022 compared with full year 2021, with quarterly year-over-year revenue growth starting in the second quarter. Full year 2022 is expected to be more than 20 percentage points higher than the pre-pandemic full year 2019. You will note this is consistent with the guidance given on last quarter’s call. It’s worth repeating - the capital infusion provides us with a runway to accelerate the growth strategy that Linda put in place nearly two and a half years ago. Thank you for your interest in Blue Apron. We hope to have many of you on this call join our first-ever investor day that we are planning. Stand by for additional details and the timing and scope of the event that we expect will help the investment community better understand, appreciate and value Blue Apron. With that, I’m going to turn things back over to the Operator to open the call up for questions. Operator?
Operator: [Operator instructions] Our first question comes from Maria Ripps of Canaccord. Please go ahead.
Maria Ripps: Good morning and thanks for taking my questions. First, given the start of your marketing investment cycle in Q4, and I think you mentioned investments were late in the quarter, but is there anything you can talk about in terms of what worked and perhaps what was maybe a little bit less effective, and whether what you saw in Q4 helps to evolve your marketing plans for the year?
Linda Findley: Sure. I can get into a little bit of that detail. Thanks for the question, Maria. What we actually saw were a couple of different things. We’ve been ramping up a lot of the branding work on the top of funnel piece that is continuing to make our lower funnel conversion more effective, and particularly we’ve seen progress in areas like direct mail, we’ve seen progress in areas like video ads and other things, that continue to drive additional larger pool at the top, and then bring more people into the conversion funnel going down. However, as we mentioned, in addition to the fact that the funding came in in November, so it was at the end of the quarter, but also the marketing technology investments that we’ve been putting into place, we’ve been seeing a lot of the infrastructure around partnerships and strong affiliate programs performing extremely well. We’ve also seen some of the content work performing extremely well. Those are some of the early signs that lead to those early January numbers that we were giving during the conversation about seeing increased rates of registration and user creation already in the beginning of the quarter.
Maria Ripps: Got it, that’s very helpful, Linda. You talked about increasing focus on promotions. Can you maybe just talk about how you’re thinking about the relative effectiveness of advertising spend versus promotional spend and coupons, and what is more productive for the health of the business longer term, and is there an optimal mix between those two?
Linda Findley: Yes, it’s actually a great question and very relevant to the question you asked before about some of the things that we’re learning and seeing. What we know about customers in the meal kit industry in general is they are more price sensitive when choosing a meal kit, and then once they are actually in the meal kit, they tend to be less price sensitive and therefore the strategy that we’ve had in place about giving customers choice on how they want to spend their dollars for value in the kit has been doing extremely well. But the other learning that’s come throughout the pandemic and as we continued to ramp up in Q4 and into Q1 is we’ve been able to understand a lot more about how we target and use our promotions to still attract high quality customers. That allows more sampling and more people to come in using those promotions, but then also increases the chance that the fact that they are going to retain high value as customers. We do continue to see that even as we lean into promotions, we are seeing our cohort stay strong, which is really great evidence that that is working incredibly well; however, the other thing that we are continuing to do, as we’ve mentioned in the discussion, is we are starting to expand the funnel to other areas, such as non-subscription boxes, including some of our programs with Amazon Alexa and other things like that, where we can start to add more customers to the funnel using a variety of things, including promotions.
Maria Ripps: Got it, that’s very helpful. Then just a quick follow-up on the partnership side, if I could, you mentioned strong response from customers. Do you see those engagements as a vehicle to create a broader brand awareness, or are you seeing sort of a more direct impact driving your customer base?
Linda Findley: Yes, actually we’re seeing a combination of both, so we are seeing very efficient conversion when it comes to those channels for sure, but we are also seeing these channels work together to actually create a lot more brand awareness as well. An example that I’ll actually give is a lot of what we’re seeing with affiliate dovetails really well with direct mail, for example, so direct mail in combination with some of the affiliate channels creates additional brand awareness but then also results in conversion. It’s part of the reason we continue to be very focused on driving additional partnerships, because they do have a double effect.
Maria Ripps: Got it. Thanks so much for the color, Linda. I’ll get back in the queue.
Linda Findley: Thank you.
Operator: Once again, if you would like to ask a question, please press star then one. The next question comes from Richard Baron, a private investor. Please go ahead.
Linda Findley: Hi Richard, did you have a question?
Operator: It appears he has disconnected from the call. 
Linda Findley: Thank you. 
Operator: Ladies and gentlemen, this will conclude today’s question and answer session. I’d like to turn the conference call back over to Tip Fleming for any closing remarks.
Tip Fleming: Thank you very much everyone for your time today. We are excited about what’s in store for Blue Apron and we’re looking forward to hosting, as Randy mentioned, a more comprehensive investor day in the near future. Please stay tuned for details.  In the meantime, have a great day.
Operator: With that, we’ll conclude today’s conference call. We do thank you for joining today’s presentation, and you may now disconnect.